Executives: Reed Nolte - Senior Vice President of Investor Relations David F. DeVoe - Chief Financial Officer, Principal Accounting Officer, Senior Executive Vice President and Executive Director Chase Carey - Deputy Chairman, President, Chief Operating Officer of The Media & Entertainment Arm, Chief Operating Officer, President of The Media & Entertainment Arm and Director
Analysts: Michael Nathanson - Nomura Securities Co. Ltd., Research Division Benjamin Swinburne - Morgan Stanley, Research Division Jessica Reif Cohen - BofA Merrill Lynch, Research Division Douglas D. Mitchelson - Deutsche Bank AG, Research Division Richard Greenfield - BTIG, LLC, Research Division Anthony J. DiClemente - Barclays Capital, Research Division John Janedis - UBS Investment Bank, Research Division Alan S. Gould - Evercore Partners Inc., Research Division David Bank - RBC Capital Markets, LLC, Research Division Jason B. Bazinet - Citigroup Inc, Research Division Marci Ryvicker - Wells Fargo Securities, LLC, Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the News Corporation 4Q '12 Earnings Release Conference Call. [Operator Instructions] And as a reminder, this conference is being recorded. I'd now like to turn the conference over to our host, Mr. Reed Nolte, Senior Vice President, Investor Relations, News Corporation. Please go ahead.
Reed Nolte: Thank you very much, operator. Hello, everyone, and welcome to our fourth quarter fiscal 2012 earnings conference call. On the call today are Chase Carey, President and Chief Operating Officer; James Murdoch, Deputy Chief Operating Officer; and Dave DeVoe, our Chief Financial Officer. First, we'll give you some prepared remarks on the most recent quarter. And then, we'll be happy to take questions from the investment community. This call may include certain forward-looking informations with respect to News Corporation's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-K for the 12 months ended June 30, 2012, identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained with such filings. Additionally, this call will include certain non-GAAP financial measurements. The definition of and a reconciliation of such measures can be found in our earnings release and our 10-K filing. Finally, please note that certain financial measures used in this call, such as statement operating income, adjusted statement operating income and adjusted earnings per share, are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliations of those non-GAAP measures is included in the earnings release. And with that, I'll turn it over to Dave.
David F. DeVoe: Reed, thank you. And good afternoon, everybody. As you have well seen in today's earnings release, News Corporation closed out fiscal 2012, achieving the financial targets we provided to you a year ago. For the full year, adjusted total segment operating income was $5.6 billion, 13% higher than the $4.975 billion adjusted total segment operating income we reported a year ago. This increase was driven by a 19% operating profit growth in our cable networks, 22% growth in contributions from our Filmed Entertainment segment and the elimination of MySpace-related losses, partially offset by lower Publishing results. Reported net income this year was $1.2 billion or $0.47 per share, which included impairment and restructuring charges of $3 billion equating to $1 per share, primarily taken in the fourth quarter and mostly related to the company's Publishing assets. Additionally, full-year results include gains of $270 million or $0.07 per share from the company's participation in BSkyB buyback program. And $224 million in costs related to the U.K. investigations also represented $0.07 per share. Excluding the net income effects of these items and comparable items in both years, adjusted earnings per share was $1.41 compared to the adjusted year-ago result of $1.18. This 19% improvement primarily reflects our operating segment income growth and the buyback of close to 10% of the company's outstanding stock over the course of last year. Now let me turn to the fourth quarter results. And for the quarter, the company reported adjusted segment operating income of $1.24 billion as compared to $1.35 billion reported in the fourth quarter a year ago. This anticipated decline, which was discussed in our last earnings call, reflects continued growth in our cable networks, more than offset by decreases at the company's remaining segments. The company reported a net loss in the fourth quarter of $1.6 billion, largely reflecting the previously mentioned impairment and restructuring charges that offset segment operating income. The fourth quarter results also include charges of $57 million related to the investigation in the United Kingdom. Excluding these charges and the comparable items in the prior year, fourth quarter earnings per share were $0.32 per share as compared to the year ago adjusted EPS of $0.35 a share. And now, let's -- I'll provide some comments on the fourth quarter performance at a couple of our businesses. Now let's start with the cable networks. This segment continues to drive overall company results, generating 2/3 of News Corporation's total segment operating income. Fourth quarter operating income contributions increased over 25% from year-ago levels to $792 million, reflecting particularly strong results at FOX News and FX domestically, and at both the FOX International Channels and STAR internationally. This growth continues to be top line-driven, with segment revenues up 15%. Affiliate fees at the cable networks increased 19% over year-ago levels with domestic affiliate fees up 16%, driven by our successful affiliate renewals earlier in the fiscal year. International fees were up 31%, with about 1/2 of the international affiliate revenue increase, driven by organic growth and the remainder reflecting a consolidation of FOX and American sports after acquiring that business in December. Fourth quarter advertising revenues for this segment were up 9% over year-ago levels, with domestic ad growth of 5% and international growth of 18%. The strong result from the international businesses reflects particular strength in viewership trends and ad markets in Latin America and India, as well as this year's contribution of Fox Pan American Sports. Fourth quarter expenses at the cable networks increased 11% over a year ago. This primarily reflects increased sports programming due to costs, due to the delay of the NBA season and the resulting increase in televised games this quarter. It also reflects the launch of the Ultimate Fighting Championship, as well as the impact of Fox Pan American Sports. At our Television segment, operating income of the quarter of $213 million decreased $20 million versus the fourth quarter a year ago. This decline is largely due to American Idol and other rating softness that more than offset higher retransmission revenues and a higher political advertising at the stations. At our Film segment, fourth quarter operating income was $120 million, a $90 million decline compared to a year ago, largely reflecting the expected difficult comparisons to last year's very successful theatrical release of Rio and the strong home entertainment titles, Black Swan and the Chronicles of Narnia. This quarter results included the launch cost of a number of successful theatrical releases that will help set up the Film segment for a solid fiscal 2013, and they include Prometheus and, of course, Ice Age: Continental Drift, which has generated over $715 million in total worldwide box office to date. Turning to SKY Italia. Segment operating income of the quarter of $89 million declined $56 million from a year ago. This decrease reflects the challenging economic environment in Italy as directly impacting gross subscriber additions in churn. SKY reported 4.9 million subs at quarter end, a net loss of 42,000 subscribers in the quarter, resulting in reduced subscription revenue compared to a year ago. Quarter results also reflect increased expenses related to subscriber retention efforts, as well as the more than 10% negative impact on operating profits and the strengthening of the U.S. dollar versus the euro in the quarter. Given the relatively low pay-TV penetration in Italy and SKY's strong competitive positioning, we continue to have complete confidence in the long-term growth prospects for this business. However, in the short-term, weak consumer confidence and consumption behavior is likely to sustain the current difficult trading conditions in Italy. And at our Publishing segment, operating income of $139 million declined $131 million compared to a year ago. This decrease largely reflects lower advertising revenue at the Australian and the U.K. newspapers, lower in-store revenues at News America Marketing, as well as the impact and the closure of News of the World. The quarter results also include a charge for litigation -- for a litigation settlement related to the e-Books price at HarperCollins. And these declines -- the declines of these groups were partially offset by higher earnings contributions at Dow Jones. Before I turn to our guidance for fiscal 2013, I'd also like to update you on our buyback program. And through August 7, the company spent $5.1 billion repurchasing nearly 280 million shares, reducing News Corporation's total outstanding by more than 10% compared to 12 months ago. As you may recall, 3 months ago, we increased our original $5 billion buyback authorization by another $5 billion, with a target of completing the total authorized buyback by the end of fiscal 2013. Even with the June announcement that we intend to pursue a separation of the Publishing and entertainment businesses, we are fully committed to completing the $10 billion buyback program. Although the repurchase pacing will initially moderate to a $3 billion to $4 billion annual rate as we worked through details of the separation process, as always our objective is to buy back our shares in a disciplined manner without artificially pushing our share price up. And finally, let me address our guidance for fiscal 2013. And as we measure our guidance, we are starting with the fiscal 2012 total segment operating income of $5.4 billion, we just reported, and exclude from this the $224 million of charges related to the ongoing investigations in the United Kingdom, resulting in a base for 2012 of $5.6 billion for comparative purposes. And as we look at fiscal 2013, we expect our channels businesses will generate strong year-over-year earnings growth, resulting from continued double-digit growth at our cable networks lead by further expansion of our international channels, as well as sustained advertising and affiliate increases led by FOX News, the RSNs and FX, higher Television segment earnings, which will benefit from the continued growth in retransmission consent revenue and a strong political advertising market heading into the November elections. Growth at our channels businesses will be partially offset by reduced contributions in SKY Italia, largely due with the current economic climate in Italy. Additionally, our operating plan for fiscal 2013 assumes development spending in our education group amplify nearly $180 million, which is $100 million more than we recorded in fiscal 2012. We're also assuming that the contributions for our Publishing segment will stabilize and be no worse than the results reported in fiscal 2012. And also, across the whole company, foreign currency rates will negatively impact our growth by about 1%. And lastly, we are continuing to exclude the cost of the U.K. investigations from our forecast due to their unpredictability. Taking all of these items into account and based on all the assumptions inherent in our projections, we anticipate our total segment operating income percentage growth rate for fiscal 2013 to be in the high single to low-double digit range below the $5.6 billion fiscal 2012 segment operating income base levels. And with that, I'd like to turn the call over to Chase.
Chase Carey: Okay. Thanks, Dave. I'll probably use the next few minutes to provide a bit more color on the guidance that Dave just gave. In a number of ways, I believe our headlight in guidance for 2013 does not fully reflect the underlying strength and momentum of our core business. The driving force of our growth will continue to be our cable channels and broadcast business. Networks like FOX, FOX News and FX continue to build on their position as unique market leaders. We also continue to meet or exceed our targets for retransmission and subscription fees that reflect the success of those networks. Internationally, we're ahead of the targeted growth previously discussed, and are always looking to add new dimensions to this business. One of the areas where we are investing for the future is in sports in India. Core STAR business will grow strong in 2013. However, we will also be investing in building a dynamic Indian sports business. While these strategic investments will more than absorb STAR'S growth this coming year, it will take the business to a whole new level of profitability in the next 3 to 4 years. These are exactly the kinds of growth investment opportunities we're targeting. I also believe that one of the things that really sets us apart is our strength in content. On the Film side, the international success of Ice Age 4 has gotten us off to a great start. And our TV studio is, once again, an industry leader. Demand for our product is stronger than ever as more company strive to compete in the dynamic digital world. Nonetheless, we believe the prudent approach for setting expectations in the content business is to be cautious in projecting film contributions so our guidance reflects essentially flat year-on-year results at a very large base of profits. Our satellite platforms, we believe our businesses and investments in the U.K., Italy, Germany and India have never been stronger competitively. In each case, the strengths reflect the combination of leadership in content, technology and operations. The one business that is facing real economic headwinds and will adversely impact 2013 results is Italy. We're focused on taking steps to position SKY Italia for tough economic times, which will enable the business to resume its growth as we move towards 2014. In all honesty, SKY Italia has never been in a stronger competitive position and we could not be more excited about the future of this business, particularly as the Italian economy begins to recover. Another business of ours that we believe has long-term potential is education. However, it will impact our overall growth in 2013, as Dave said, as we're investing an incremental $100 million this year. Our aim here is to build a unique education business positioned to take advantage of today's digital technologies. These investments are recorded as a loss in our P&L. However, as in the case of other businesses we successfully built over the years, we believe these are investments that we'll pay off in multiples. Recent agreements like the one with AT&T speak to the unique excitement about this initiative. We have more to come. We know many of you would like to know more about our plans here, and Joe Klein is planning to provide that vision for you this fall. Finally, our Publishing businesses are clearly in a restructuring mode. Overall, this segment is expected to be essentially flat in 2013. We do expect to start to see some of the benefits of our initiatives in the U.K. However, Australia and News America Marketing will still be in the midst of restructuring and challenging pressures that will adversely affect -- impact profits. As we look ahead into fiscal 2013, we also expect to continue addressing our off-balance sheet investments. In some cases like NDS, we've moved to monetize investments. In other cases like our recently announced steps around DSX and CMH in Australia, we're moving to take greater operating control of businesses. This is obviously an ongoing process and we're not going to lay out timetables for future moves, but we will be opportunistic. Equally as important, we want to be flexible and opportunistic. We also recognize the importance of an efficient capital structure to maximize shareholder value. We pursue the balanced approach of buybacks and investments to achieve this goal, and that continues to be our plan. Our undervalued stock continues to support our buyback plans. At the same time, we believe there may be strategic investment opportunities to exceed our target returns and strengthen our businesses for growth. Overall, we really like where we stand, and are particularly excited as we move forward with our planned separation that is really all about bringing focus and alignment to our businesses. There isn't a lot of news to add on the separation since we announced it a little over a month ago. But everything is on course and we're targeting to make our initial regulatory filings around calendar year end, with operating details to follow. In closing, while these macro economic times may test our nerves, we are incredibly well positioned for another year of growth inclusive of the investments we're making. Ultimately, we feel confident that our strategies will bring strong shareholder returns for years to come.
Reed Nolte: And now, Chase, James and David will be happy to take your questions.
Operator: And ladies and gentlemen, the executive team will take questions first from members of the financial community. [Operator Instructions] And we go to Michael Nathanson with Nomura Securities.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: I have 2 quick ones, I promise, on domestic key units. If you look at affiliate fee growth this year, and they're 12%, but it was lumpy: the first half, 9%; the second half, 15%. Can you give us a sense of next year domestic affiliate fee growth? What's the right range within that ballpark of affiliate fee growth?
David F. DeVoe: Yes, I mean, I think it's pretty much what we said in the past, which I think as we said, we've sort of been achieving low-double digit affiliate fee growth. And I think that, as we look out, that's the growth we expect. There'll always be a little lumpiness just because when large deals come up and in particular channels, they can give a quarter-to-quarter lumpiness. But as we look out over the next few years, I think we expect to continue the same sort of growth rate we've been generating.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: Okay. And then last, the other question would be you also had lumpiness on the cost side throughout the quarter domestically. What's the right range of cost growth organically? Because I know there's a lot of moving pieces on the domestic side. But what's the right range of cost growth at the domestic networks?
Chase Carey: I mean, that's a much tougher one to make a general statement about because you really have such a mix of businesses that -- or different places. I mean, they're -- I think we do think it's important to make target investments to strengthen channels. I think there are channels where we think we still have room to improve margins, and probably others that are overstaying margins, and there are probably channels that we think we should be -- we can grow both the top and the bottom line that have yet achieved their potential. So if you look across business FOX News, which obviously has a much more controlled cost base, sports business has rights that come up. There are businesses like transactions, like -- or agreements like ones with the UFC, where we're investing to build the channel-like fuel. So I think we feel comfortable with those margins but, again, it's going to be a mixed set of stories as you look across the mix of channels when you have as many channels as we do, across the expanse of sports entertainment, news and nonfiction. There are different strategies for each.
Operator: And we go next to Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: I guess 2 questions on the guidance. One on the Publishing business, you mentioned sort of flat results. Can you talk about, on the expense side, what you're doing there? It sounds like expenses will be down, at least, in the U.K. And then on the cleanup around your investment chase, can you comment a little more on Sky Deutschland? I think that the business is, it's sort of an inflection point. You've got the Bundesliga rights now. I think they start being exclusive in the fall. And the business is starting to probably ramp in profitability. Does that make that something that you want to own more of? Any comment on some of the opportunity in Germany, how are you feeling about operations, maybe compared to Italy, and help us think about the long-term plan there?
Chase Carey: Yes. I mean, I guess, first one at the cost side in the Publishing. I mean, we certainly are focused on the costs, and I think particularly in some of the businesses that will be a major focus for the coming year. Major places -- some we're a little further along the curve, as I think I referred, in a place like the U.K. In Australia, we brought in new management just in the first half of this year, so that's probably one that is really going to be moving into a very significant restructuring during this year. So I think it's a part of all of those businesses, but they're a little bit at different places. Obviously, the U.K. also has initiatives. They're not just cost-based like the Sunday Sun, that bring a dimension back, but certainly costs are a major focus across those businesses. On Sky Deutschland, we're thrilled with the business. Yes, there was nothing really to announce. As we said before, we're comfortable where we're at today. I agree the business continues to make great strides forward. I think the management team there has done a fabulous, fabulous job. We continue to see it in the growth of subscribers and the improvement of the financials. And I think if you -- and you start where you can really feel it's the channel that really, it is creating a real excitement about it. And surfing the channels are creating a real excitement about it, a launch of sports news there added exciting dimension to it. I think the breadth of rights we took, we just acquired on the boom display will give us the opportunities to widen again, some of the technological enhancements that are added to it are really getting traction. So it's a business doing really well. Again, our focus today, it's on continuing to improve that business and driving everything it can be. And that we'll decide as we go, what's the right path for us in an ownership context.
Operator: Yes, we go to Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Also 2 questions. Chase, I was hoping you could just elaborate a little more on your global sports strategy? I mean, it really seems like you're focusing in on some really big markets. Besides the rights fees, and I think you bought something in Holland today, are you -- what is the level of investment? Are you trying to develop Palanca Brown's [ph] ESPN and are you managing it, can they be global channels? And the second question is, can you just give some color on the fiscal Q1 advertising outlook by business?
Chase Carey: Sure. And I think -- this is for a -- for this sports actually, yes, it's not a global strategy. I mean, I think it has to start sort of within each business, making investments that makes sense. There may be, as we go forward, opportunities to connect it and look at it more broadly, nothing to do with the ESPN is the day without the building businesses that we think makes sense and we think where we can drive real value. We like sports. I mean, as sports, yes, there's a cost attached to it. But I think in a world that is increasingly fragmented and digital, it's been proven time and time again, that if there's one area of content that just continues to sort of differentiate itself, it's sports. And I think sports has particularly unique values where you've got a large broad business, so you look at in India, where we're we've got multiple channels and the like, and the ability -- or even in the U.S. where having those big flagship sports franchises, you create value within the sports, but in many ways, it becomes a part of the larger growth strategy for those businesses. I think it really starts, and you have to -- I mean, those bets are beg enough, we make a bet, whether it's from Germany, Italy, India or the U.S. or Latin America. We made all those bets. We made them based on what we think the returns, to make sure we believe we can generate the returns we need within those markets, that there are opportunities to then take the breadth of those investments. And as I mentioned, I think that's something we can -- we'd always love to do, but the fundamentals are really make sure we can add value there, clearly. When you're adding sports in a place where you've got the breadth where we did with Sky Deutschland or SKY Italia or the breadth of the businesses, STAR, or the right of channels we've got in the U.S., sports plays uniquely an important role in driving the business as a whole. In terms of fiscal, in terms of advertising for the first quarter. Yes, I think it's actually been -- it feels reasonably good. I mean, maybe a couple of weeks have been shot, I mean, sort of, obviously, pretty dormant for most of us not in the Olympics. But I said, excluding sort of the immediate term, it's -- the market's pretty good. I mean, there's anxieties, I think still the anxieties, whether it's Europe or the election here, and what are the consequences to those as they continue to -- certainly, keep our eyes in short, and people have been on edge. But when you look at the scatter market network, is still some low, double-digit scatter market. Cable is always a big factor. Cable market's probably stronger than that. And so, I mean, it actually is -- the market has -- reasonably good market. It's not great. It's not off the charts. But in a reasonably solid market in a period when, clearly, there are a lot of anxieties about the economy.
Operator: We'll go to Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: If I could actually follow-up on the advertising comment. Can you give us a sense of what the domestic ad growth underlying your guidance is?
Chase Carey: Yes. I mean, I think in the station business, we've assumed for essentially a pretty flat marketplace except -- well, you said the underlying marketplace. I think our marketplace is like low-single digits, like 1 or -- the market, it's like 1% or 2% [indiscernible] So I think we assumed a flat, a close to flat marketplace. We do think we can face -- we've been successful in taking share, and that is our goal for the year. But I think we can assume a pretty flat in advertising market in -- overall.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Overall, so that's stations and network?
Chase Carey: Yes. The network is -- we came, we've got to come through the upfront. So you -- and you sort of into the network, it just sends a bit, a little bit more based on the upfront. So I mean, we -- I think we achieved what we set out in the upfront, that's about 80% of our inventory and equipment down a touch on volume, up on pricing. And then I think sort of achieved what we set out to achieve. And the scatter market has been pretty good so far.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: And a follow-up to that, Chase, is -- and I'm afraid the answer to this will be sort of a little bit of everything. But the biggest swing factors from the low end to the high end of guidance that you would point us to do beyond advertising?
Chase Carey: Yes, beyond the marketplace?
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Yes.
Chase Carey: Well, I guess, it's something to dig. It's probably, to start with, a business, as I said that we forecast flat, which is the Film business. And we always got stuff that's always tough to forecast. We've gotten off to a really good start with Ice Age, with the Ice Age film. But there is that business. And you -- even on the TV side, we think the digital world, it gives a lot of energy. We're not going to go out and get too far out there. I mean, you're getting more international activity than you've had. So you've got a lot of -- you've got the energy domestically, you've got more activity internationally. We've got to first make sure we continue to be disciplined about how we approach it. And I think we've always said, we're not going to just grab a quick buck. But you can see if there are opportunities there. And I would not say we projected sort of any big buyer coming in, in a new way. So we've approached it sort of much more based on in terms of the world as we know it, and in a world that I think is, if I'm going to say, "Where do I think that digital world goes?" You look out next year, certainly feels like it could happen. More buyers across the world that are looking to try to access unique content. And I think we feel great about our content and brands. And I think that will give us opportunities to intelligently explore it while sort of protecting and building our core businesses to channels, but intelligently, taking advantage of digital. So I'd probably say that those would be the execution on content, on content film that we don't put in there, and the digital world providing opportunities that we haven't tried to project.
Operator: And we go to Richard Greenfield with BTIG.
Richard Greenfield - BTIG, LLC, Research Division: A couple of questions also related to Cable Nets. First on sports. I think sports is such a vibrant part of what News Corp. is all about. And I think some investors who don't like News Corp. really fear that the RSN business is not in a strong position, just given the cost of those networks in the current multichannel world relative to other networks as well as just the risk of team on networks, when you see what's happening like in L.A. You seem to have a lot of confidence in the trajectory of our RSN business. Kind of help us all understand kind of why you are so confident in that business. And then just kind of a related question to the topic of Cable Net. We're seeing new distributors like Google Fiber with their facilities buildout, and we're seeing some potentially new over-the-top MVPD's come online over the course of the next few months. Can you just update us on what your thought process is? I know you're working with Google Fiber. Maybe just an explanation of why, that would be great.
Chase Carey: Yes. I mean, as for the RSNs, I mean I guess -- yes, I think that the confidence is probably -- starts with the simple fact that most of our agreements have pretty good terms to them right now. I mean, the Dodgers, what we're dealing with, I think, most of them are at least 5- to 6-year terms and some of them -- many of them are decades. So the issues we're dealing with, with the Dodgers, don't, aren't really ones that broadly exist. And I think beyond that, I think we believe we can navigate those issues. And I think we've been pretty good. I mean, I've used Texas as an example where we did. And feel good about the business we came out of Dallas with. So sports is always going to have a -- all our business is going to get more competitive with more players. And that's part of our challenge, and try to make sure we've got the strengths and management that could continue to tackle those challenges and build those businesses. And I think we've proven an ability to do it. So I guess, I think, it's combination of the strength we've got, the track record we've proven to be able to execute in the face of those challenges, and the strengths of the agreements we've got in place for those businesses. In terms of Google, the Google Fiber, I mean -- you mean the Kansas City thing we're doing?
Richard Greenfield - BTIG, LLC, Research Division: Yes.
David F. DeVoe: Yes, they're, I mean, essentially, they're just been building the ultimate cable system. We -- I mean, just as we saw the satellite, we don't sell geographic exclusivity, so somebody comes in and wants to overbuild this next Generation cable system, if we could reach the right terms, then yes, we'll do business. We want to make sure it's the people that respect issues that are important to us, around piracy and everything else. So but there are players that, again, we said, we think it's important about the business, and we can reach appropriate business terms. We -- just as we licensed our product satellite when they came on the same -- this is really, I think, it's a next generation cable operator building out a cable system. I think the whole visual MVPD thing is much murkier and much less clear when it comes to who's doing what. But I mean, there's a lot of stuff going on in digital, but I think that that's much more digital because I don't think it's really evolved far enough to really have a clear picture of who's trying to do what. There are a lot of people talking but I think that Google Fiber is much clearer. Again, I think they just -- whether the economics of that works for them long-term, I guess we'll see. But they just built a, as I said, next generation cable system and broadband network. And for them determining, can you generate enough incremental revenues to pay for that incremental cost they've invested in the ground.
Richard Greenfield - BTIG, LLC, Research Division: Is that why you're putting in an investment Roco this quarter, to just kind of have it to get that over-the-top table?
David F. DeVoe: I think it serves as -- it's not that specific. I think it's -- yes, I think, look, we know this digital reign is going to be important to our future, I think. You don't want to be spending ahead of the curve because a lot of business models have yet to evolve, but we think it's important for us to be active in this place and try and get insights to it. Hulu, obviously, gives us one important task to try and develop digital businesses. We've played a little bit with the YouTube channels and the disc models clear, but it gives us, again, an ability for a very modest investment to try and develop a different dimension to the digital experience, growth of business again, a little different window in the digital experience. Roco also has some values to our satellite platforms overseas that are probably -- would be different to what we'd be pursuing strategically here that could be enhanced to them as they try and figure out, which is clearly part of their strategy and you see is today, as we roll out products, whether it's SKY Go or SKY on demand and the like, and better understanding of how do you develop that sort of everywhere, TV Everywhere, concept as the satellite player. So I think it's more like that, just say insights into the digital world in a way that we think is a smart, manageable investment.
Operator: We'll go to Anthony DiClemente with Barclays.
Anthony J. DiClemente - Barclays Capital, Research Division: One for Dave and one for Chase. Dave, just wondering if you have the numbers on organic affiliate and advertising revenue growth of the international Cable Networks if you were to exclude the impacts of foreign exchange and the impact of FOX Pan American Sports consolidation? Just looking for a sense for the recurring growth rates of those and then what they look like and what might be implied in your fiscal '13 guidance for those? And then I'll just give my follow-up here, which is, Chase, that the only times reported that you're able to negotiate FOX News with Time Warner at a very favorable step-up initially, just wondering if you can comment for us about that agreement, how that kind of played out, what your thoughts are? It was reported you weren't able to renegotiate the other networks early along with FOX News. Just wanted to get some context from you on that.
David F. DeVoe: Yes, the affiliate fee, is about 14% organic. And the advertising would be about 13% if you pull out the items you mentioned.
Anthony J. DiClemente - Barclays Capital, Research Division: And for the guidance? Any comment on sustainability of that type of organic growth?
David F. DeVoe: I think we said before, that we feel pretty good about double-digit growth, both in the international businesses.
Chase Carey: I'm not going to comment about some -- a lot about specific agreements. I don't think that's been our practice. And we won't -- we achieved our -- I mean, we feel good about the agreement. I mean, and let's not try and put a stick it anybody's eyes. And I think, we -- that our goal in these is to get fair value. We're not trying to pick fights. We think FOX News has been undervalued, is undervalued for the importance of it in the marketplace. As we've talked about the fact, by the end of the calendar year, will have renewed a sort of second renewal, I think at least 1/2 the FOX News universe, we've expected, and we've expected to receive significant increases, reflects the value of that FOX Business Network, and use to make strides that will actually affect the business network, will be profitable this year. So it is -- and I think it's a stronger channel as it goes forward. We always look to sort of try and look at all our franchises, find the right balance. I will say, we achieved what we set out to do, and probably exceeded targets we had, which is pretty much, I'd say, in really affiliation agreements we've had certainly over the last couple of years. And I think we have -- we've tried to be pretty disciplined, pretty clear. Yes, in some places, we have asked for significant increases, but -- and I think where we do, we think it reflects the value, whether it's retransmission of FOX News or other franchises. And we have continued to achieve or exceed our targets. But I'm not going to get into comments on -- in specifics. We have good a good relationship with Time Warner Cable, and that would be our goal, is to continue to have that constructive relationship with them.
Operator: We'll go to John Janedis with UBS.
John Janedis - UBS Investment Bank, Research Division: Can you talk about any change in strategy you may employ in the near-term with SKY Italia, against the downturn? Will you continue the retention program? Has churn ticked out to maybe mid- to high-teens at this point? And has the competitive environment changed at all?
David F. DeVoe: It's Dave here. I think on SKY Italia, look, I think it's very clear to everyone, particularly SKY Italia and us, that the macroeconomic environment in Italy is providing some real challenges. But with the focus from a strategic point of view, is to really handle the cost base, as best we can, really attack the cost base to rightsize the business in an economic environment that is very different than it was a number of years ago. And that's really across-the-board in terms of operating costs and rights costs and things like that. Subscriber management, clearly, a very, very big focus. And churn has ticked up a bit, but I think that this year we'll see that businesses stabilize and be able to grow from a different base. And we have very high hopes to that business going forward. On the competitive landscape side, I would just say that I think we all think that SKY Italia has probably never been better positioned competitively. It's performing very well in a challenging environment there. And I think when you hold it up to the competitors and where Mediaset is, where Talk of Italia is, where the cable industry which doesn't really exist there is, we feel very good about positioning. And right now, it's just a question of really rightsizing the cost base to deal with the subscriber growth environment that really isn't going to be there for a little while, and to move from there.
Operator: We'll go to Alan Gould with Evercore Partners.
Alan S. Gould - Evercore Partners Inc., Research Division: Chase, on the digital side, can you -- it seems like News Corp. has been a little bit less vocal about TV Everywhere authentication. Can you give us your thoughts on that, and which of your programming or networks you're starting to either get paid for or negotiate for with TV Everywhere in authentication?
Chase Carey: I don't know [indiscernible] we haven't been less vocal about [indiscernible]. We think it's the right path. I mean, we think it's the right solution and it's -- there's no question. Yes, I think it's what the consumer wants, is that flexibility to get that content where they want and when they want. Obviously those become part of larger negotiations in many cases, but we think it's the right path for us and our distributors. We think it enables us to continue to grow this business in many ways. So every time somebody asks me about the costs, the cost of the content to a consumer, I say, I think one of the most important ways to address that is to continue to give consumers new things that excite them, that make it more valuable and make them appreciate it more. And I use my experience at DirecTV where I said I think realistically, I don't think in most cases costs -- I mean, obviously, they always care, but they really care about a quality experience, whether they're getting what they hoped, and things that excite them. If you really deliver on their expectations, I think the business has real -- I think we have an ability to continue to add dimensions to it. So we think it's the right path. We have to negotiate the appropriate agreements around it. And in some ways, I think we expressed our frustration that it hasn't moved faster. And in some ways, probably recognize the importance of doing some things, like standardizing and simplifying the experience. And if there's a question it's too complicated of an experience for consumers, it's too cumbersome an experience for consumers -- and I think we all can look at the simplicity of an iPad and realize how important it is to create an experience that 3- and 4-year-olds can figure out.
Alan S. Gould - Evercore Partners Inc., Research Division: And if I can follow-up, when do you realistically expect to have some measurement on authentication? And is that an important milestone?
Chase Carey: You mean measure -- I'm not sure what you mean by measurement, though.
Alan S. Gould - Evercore Partners Inc., Research Division: So you can measure your advertising, get paid on the advertising side of it?
Chase Carey: Well, we're certainly -- look, we're getting paid. I mean, we've got digital content. It is getting -- we're getting, I mean, we're getting value for advertising today. We started a year ago when we went into the upfront of being able to package part of our digital advertising with our traditional Television advertising. So we are measuring it today. Now some of that is sort of just digital sites, but it's going to be part of the whole digital experience. I don't think it's really -- I don't view that as sort of purely an authentication issue. I think I view that as digital, and some of that digital viewership will come through authenticated viewing, some of that will come through the experiences of the Hulu Pluses, the Hulus and other players then. But we are certainly well into trying to develop -- we don't have targeting. Clearly targeting and advertising broadly is an opportunity that's yet untapped, and I think one of the real opportunities for the business, I know the cable guys are investing in it. And I think that's important for all of us to figure out how do we take that pipe of targeted advertising to another level. But we certainly, we've been in it and developing it for the last year. And it's an important area of focus of growth for us.
Operator: We'll go to David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: 2 questions. The first one is to help us kind of evaluate the scale and size of the international cable business. Could you give us a sense, on a pro-forma basis, for the fiscal year that just ended, including Fox Pan American Sports and STAR and all those things, what is the split in revenue and OI between international and domestic? And then if you can give us a sense for what you think that would be underlying your 2013 guidance? And the second question is, without addressing any specific partners, can you give us a sense of when you think about the guidance next year, does it anticipate any new additional players of scale coming into the digital distribution business that you're counting on revenues from? Or does it sort of anticipate the same basic playing field?
Chase Carey: No, well, on the latter question, I think it's Mark who asked earlier about where the upside, I think we touched on it there. I mean, we think there will be more activity, but we haven't really -- our guidance does not factor any big new player or something big happening. I think we've looked at it more as largely a continuation of the international side, again, that's had some activity growing into it. But I think we've guided it much more towards what we see today as opposed to trying to handicap what the new players do to it. I think that is an upside. I take it's much more of an upside than downplay. That is mostly upside opportunity for us, but we haven't factored in the numbers. And I think in terms of...
David F. DeVoe: Internationally, it's roughly 25% of the earnings we just reported. So it's 25% of revenues in earnings international. That's pretty broad, okay, so...
Chase Carey: And international said a different way, I mean, I think we said in the past, we expect the business in 2015 to be -- and this is excluding STAR, to be a $1 billion business. We're at -- and realistically we're ahead of that curve today. And then STAR would be on top of that. And STAR is certainly a significant additional component to the channel business internationally.
Operator: We go to Jason Bazinet with Citi Investment.
Jason B. Bazinet - Citigroup Inc, Research Division: I just have a quick question for Mr. DeVoe. I just want to confirm that the guidance that you laid out assumes that the offer for CMG does not go through, or, in other words, it's not in the guidance? And if that offer does go through, say, midyear, does that help your OI about 1% or 1.5%? Is that directionally about the right number, if you could give a calendar year close midyear fiscal?
David F. DeVoe: It's not included in our guidance. And depending on when it closes, it would help our OI. Obviously, part of that, at the moment, we pick up as equities on the sports business. So you're not too far off, actually, with this 1%.
Operator: We'll go to Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I have 2 quick ones. The first one, it sounds like the flat guidance for Publishing will be driven primarily by cost cuts rather than any stabilization in revenue. So is this the right way to think about this? And then my second question is, on education, when would this become a contributor to profits? Is this a 12- to 18-month thing or a 3-year initiative? And will costs ramp up over time, so we're looking beyond fiscal 2013, that $180 million may grow another $100 million each year?
Chase Carey: And I'll touch on the education, let Dave will touch on the Publishing. I think probably, really, the right way to give you some visibility because we haven't and it's a complex plan, is to have Joel Klein do it, which we're going to plan for this fall, and he can give you some visibility. I will say that the spending, we do look at probably 2013 as essentially being a peak year. But and it, from there, we start to develop the revenue side of it and really invest [indiscernible]. We still have significant investment in 2014, but '13 is probably the peak. And I think we will develop the revenue. I think Joe's better off to give a better sense of that, and a better sense of what the products and the plans are. Dave?
David F. DeVoe: Yes, [indiscernible], really, it's a combination of both. It's a combination of crosscuts, but it's also a combination of increases in revenue. We certainly expect our business in the U.K. to do significantly better in fiscal '13 than in did in fiscal '12.
Reed Nolte: Thank you, everybody, for joining today's call. If you have further questions, please call me or Joe directly in New York.
Operator: Ladies and gentlemen, this conference call will be made available for replay starting today, August 8, at 6:45 p.m., Eastern time. The replay of the conference runs through August 22 at midnight Eastern. You can access the AT&T teleconference replay system by dialing 1-800-475-6701. Please enter the replay access code 254526. International participants dial 1-320-365-3844, replay access code 254526. And that does conclude our conference for today. We thank you for your participation and for using AT&T's Executive teleconference service. And you may now disconnect.